Operator: Good morning, everyone, and welcome to the IRSA Second Quarter 2016 Results Conference Call. Today's live webcast of both audio and slide show may be accessed through the Company's Investor Relations website at www.irsa.com.ar/ir by clicking on the banner Conference Call. The following presentation and the earnings release issued last week are also available for download on the Company website. After management's remarks, there will be a question-and-answer session for analysts and investors. At that time, further instructions will be given [Operator Instructions]. You will have also the possibility of sending your question via webcast by clicking on the Question to Host tool. Before we begin, I would like to remind you that this call is being recorded, and that the information discussed today may include forward-looking statements regarding the Company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the Company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, Second Vice President. Please go ahead, sir.
Alejandro Elsztain: Thank you very much. Good morning, everybody. We are beginning our second quarter 2016 conference call. If you go to Page No. 2, you can see some of the main highlights for the six months of this year. And you know that in October 11 of this year, we took control over IDB Development Corporation. We started the consolidation of these assets in this balance sheet and next quarter, the third quarter of 2016, we are going to be consolidating the results. If we talk about the financial consolidation results for the six months, we see that the revenue from sales, lease and service grew up to ARS1.6 billion, almost 25% comparing to last year. The EBITDA for the period was ARS2.054 billion a 15% increase comparing to last year. The net income made a loss for this period of ARS910 million. From that ARS487 million are for IRSA shareholders and the main explanation for that was the decrease in the stock price of IDB plus insurance company and some lower results in the financial results and higher exchange rate and cost devaluation that came to Argentina. We hedged this portion of our denominated debt and we had the positive result in the quarter, in the first semester of ARS911 million. So if you move to next page, the Page No. 3, we can see the main highlights for the two companies; IRSA Commercial Properties and IRSA Holdings[ph]. In Commercial Properties, we can see that the EBITDA for malls was almost ARS940 million, a growth of 36% comparing to last year numbers. The EBITDA of office buildings is ARS87 million, more than 300%. Remember that last year, we made a [Indiscernible] growth. The malls' tenant sales increased by almost 40%. In comparison of the same store sales, we had a growth of 32%. The office lease remained stable at $25.6 per square meter, we had a gain in the sale of investment properties of ARS155 million at IRSA Commercial Properties, selling almost 6,000 square meters of Intercontinental Plaza building. We did an additional partial sale of one floor more, 851 square meters of the same building on February of this year. So it’s not recognized on the balance sheet of December 30 for ARS41 million sales having a gain of almost 20 million that we are going to recognize next quarter. The occupancy stayed high at 99% in the shopping centers and 94% at the office building. And from next quarter, we are going to make a separate work chart for IRSA Commercial Properties and to show result on that property from the next quarter. In the IRSA level, we sold during the quarter 0.7% of Commercial Properties. We went from 95.9% of the stock of the Commercial Properties to 95.23%. We had some sales of investment properties for ARS800 million, generating a gain of ARS729 million. We sold the partial sale of Catalinas office. This is a new project that Dany will explain later. This is a new project to be built and we sold four floors with 44 parking lots for ARS180 million plus $12.3 million, a magnetic sale for the future development that is going to be done the next 12 years. Our investment in Banco Hipotecario where we own almost 30% of the shares of that company generated a gain of ARS170 million almost, 141% better than last year. And the investments in IDB, in October, IRSA Holdings sold its investments increasing worth to buyer, increasing the sales to 31%, IRSA remained at 49% to Dolphin and we have a 34% gain. After that, subsequent to then, Dolphin fund with IRSA an option to acquire 92.6 million shares of IDBD at ARS164 per share with a two-year period plus 5.5% of annual interest as well. So IRSA can guide up per share. So I will introduce to Daniel to give the explanation about our operation based in the Commercial Properties. Dany, please.
Daniel Elsztain: Thank you, Alejandro. Good morning, everyone. In Page No. 5, on the bottom right side of the page, we can see a summary of the main figures. Our stock in shopping centers grew up little bit because incorporation of the Alto Comahue compared to the previous six months of the previous year. Occupancy is high. We are talking about figures on the 99% which is very high for all standards. Sales went up about 32% on the last quarter same stores, but the total number is 35.7% increase in sales and we also increased our visitors, compared that now we have two shopping centers that are new to the portfolio and becoming more relevant in the trade areas. On Page No. 6, we can see some numbers on the office segment for IRSA Commercial Properties. The total stock of office building right now at the end of December, this was almost 80,000 square meters. That's something important to mention. The monthly lease is $25.6 per square meters and this didn't change. As you remember, we've always been talking about the office segments, the price it's in dollars and even without a big devaluation of 40%, almost 50%. The price we're collecting here is the same $25.6 per square meter. On occupancy, we had a negative effect. Now, we are 94%. This is basically framed by two effects. One is the price on oil. We lost two tenants on the segment of oil and building. And second, because we reduced a little bit the portfolio. All the occupancy has a major effect at the expenditure. This is just the picture, the 94%. As a whole, the average for the whole year is 96%, the average and we believe we will now get soon new tenants at the same level of rent for the empty pages that we have. On the portfolio on September, we sold, as Alejandro mentioned almost 6,000 square meters on the Intercontinental Plaza, at a 5.2% cap rate that gave us again the commission of ARS156 million, and after the closing of this quarterly balance sheet, we had on February, we sold one more floor on this building, about 851 square meters for a total with a gain -- that we recognized a gain of ARS19 million, and the total sales of ARS41.5 million. We still have some floors that we would like to sell on this building. On Page No. 7, we can see some existing developments that we have been doing in actual shoppings. We are about to finalize the second phase of the Distrito Arcos Premium Outlet Shopping Center. This is an incorporation of 3,500 square meters of GLA. The total CapEx was ARS74 million, and the new tenants are taking possession and are starting with the construction of their stores. So we expect the opening of the trade in the very near future. On Alto Rosario, we started a small expansion of 650 square meters of GLA. This is a very demanding shopping center in the City of Rosario. So we decided to make it in three stores. The new tenants will be entering by March to get possession of the stores and are fully signed and it's under construction. On the next page, we can see, as Alejandro mentioned, one of the projects that we are planning to start for this year, and it will take us a couple of years to finalize. This is a mixed use project of office building, commercial, retail and maybe some hotels in the adjoining plot land that we have a dot dais shopping center. Today this is one of the main hubs for office buildings and this is intersection of the two main highways of the country. So the shopping center is doing well. The top building, the office building that we have, is fully occupied and we are getting demand from potential tenants all the time. So we decided to start this to launch this big project. We will start on phase one with the construction of about 28,000 square meters of GLA, will include a total CapEx of about $50 million. This is making the construction of the office building. This is a renovation of an old industrial building into a modern industrial building for specific segment of technology companies, and as you have seen in different places in the world, this is a new trend. We have big demand for this building. Also, the construction of the parking spaces and the plaza will be a small park for all the buildings and the whole project. The second phase which we are not planning to start yet will include the tower, as you can see on the picture and another building that will have a component of hotel and more office buildings. And this office park would be connected with a small expansion on the shopping center with the shopping adjacent to this plot. We are very happy with what the market is saying, the potential tenants. We are talking with big, big tenants in the country that they want to be in this project. So we are expecting to announce soon the start of construction here. On next page, we see and we have talked about this in the past. The expansion of our main shopping center, Alto Palermo Shopping Center, and what was previous name of the company. We had a small building adjacent to the shopping center. We were able to buy the last piece last year, the last piece of that building to make it possible. Now we are finalizing the construction plans, asking for construction permit. So we expect to start construction very soon. This will add about 4,000 square meters of new GLA, a total investment of $12 million, and this will include the movement of the food court on the shopping center which is going to be a big construction project, but not so disturbing for the shopping center itself because basically the majority of the construction will be placed by the next door building, which makes things more simpler. High expectancies from tenants and this will bring a new era for the shopping center. We are still doing the best, our biggest bid on the company and we believe this will keep the trend, making differentiation in our company. Talking about IRSA, now we can see the composition of IRSA. Now, we have, as Alejandro mentioned, 95.22% of IRSA Commercial Properties, a small reduction as Alejandro mentioned versus small cell to increase liquidity. We still have the hotels; we have the land bank. We have the international component basically by IVD on one side initial and the Condor Hospitality on the other side, plus [indiscernible] and 29.94% of Banco Hipotecario. This I’ll leave today. On IRSA, as you can remember, we kept some assets that were for sale. So in this quarter, we were able to sell the building, the Dique IV office building in Puerto Madero. It was a total sale of about ARS649 million, close to $4,000 per square meter, about. A total sale that produced a ARS585 million gain. This is 9.5 times book value to have an idea. Also, we had some floors on the Maipu building. So we sold 3,450 square meters. Again, 8.5 times book value. That's a total sale of ARS123 million and we sold also at the IRSA level Isla Sirgadero plot. This is in the province of Santa Fe. It's a piece of land that we bought for reserve and future development. We saw the opportunity of selling this plot of land at ARS37 million, again 7.7 times book value. This is to have an idea of the difference between book value and the real prices of their assets. In the case of this Isla Sirgadero, this plot, besides selling the plot, we kept -- we reserved some right to the future, small developments on this project that are not incorporated here. As Alejandro mentioned, we did a partial sell on the Catalinas office building. We've been talking about this piece of land for a long time. Now we've finalized the construction plans. We have all the building construction plans. We are looking for the final permit to start construction. And we sold four floors here at about $5,000 per square meters, and the delivery time will be in four years. Here, this is the total building of total G&A of 35,000 square meters. It's going to be a green building, LEED certification, 30 floors, parking and amenities. We sold this to Globant. Globant is also a company in the software development that is producing basically for abroad, nothing for Argentina. They bought these four floors for us and we are thinking when is the right time we're getting ready for construction on this project. On the Page No. 13, we have the international opportunistic investment. We still have the Lipstick. Lipstick is doing very well in terms of leasing. Occupancy is going up. We still have very small vacancy and it's going to be occupied soon. We expect to occupy that soon. Prices on Midtown are going up and same on the building. The only comment we can do on the Lipstick is that recently the ground lease that used to belong to SL Green, it was sold and now we have a new owner. Nothing changes from our position. On Condor, we still have the Company's same strategy. It was a completely new management appointed, CEO, CFO, CIO, the sales of remaining hotels being sold at the price that we expected. And the new strategy, which is select hotels are being achieved good margin, the last acquisitions, and the Company we think is now we have no event on this. So we have high expectations also for the Company in the near future. It's been getting more tied. On international investment, Matias -- Ivan Gaivironsky Matias, CFO, will speak about international investment.
Matias Gaivironsky: Thank you, Daniel. Good morning, everybody. So going to Page 14, here we have the description of our investment in IDB. The main investment highlights for the semester was that finally we finished the partnership with our former partner. So now IFISA acquired the share from Mordechay Ben Moshe, reaching 31.7% stake and Dolphin that is the vehicle that we are using for our investment through IRSA has 49%. During December, we also agreed with the existing minority shareholders to postpone the launching of the first tender offer. Remember that we have remaining two obligations towards the Company. So you have the description in the bottom right of the page. So we have two tender offers. The first one is to launch a tender offer by March 2016 now, so is via December. So we postponed three months. And we have the remaining for the end of 2016. After the cancellation of the partnership, we are starting to change management. So now we appointed a new acting CEO for IDB and DAC and a new CFO for DAC. We start to change directors in the subsidiaries. So we start to make changes on the managerial levels. During December 2015, also was canceled the sale of Clal is to read a process of an action on Clal and finally that was cancelled, generating a weak decrease in the shares of Clal that I will comment later. On a subsequent event, as Alejandro mentioned, Dolphin signed with IFISA an option to acquire the same shares that IFISA acquired from Mordechay Ben Moshe. So the same shares at the same price. We have an option for two years plus an interest rate of 8.5%. The tender offer obligation, we recorded 100% that are recorded with a loss of ARS1.6 billion, that was already recognized in our financial statements. So going to Page 16, since the acquisition of the shares and since we effectively took control of the Company, we start to consolidate IDB in our financial statement. So this will add a lot of changes to our financial statements. So we presented most of those changes in a separate presentation that is in our website. So any question on that, please call us and we will explain, and I will try to summarize fast the main changes. So for this quarter, we start to consolidate assets and liability. We haven't consolidated yet results. So we will start to recognize results from the next quarter, so starting in our next quarter that we plan to release by May 11. So that will be our nine-month quarter. We will start to show results from IDB. So we will use financial statements of IDB with a lag of three months. So, by the next quarter we will use December figures for IDB and we will recognize it in March. This gap is because they have different rules in IDB in Israel. So they present financials with more time that we have here in Argentina. So we will use this gap of three months to show results. Going to Page 17, something that we will try to maintain in our financial statements, it's the same explanation until now. So we will try to separate results from IDB, from IRSA. So we will maintain in our segment information two business centers. So from now we have defined two business centers for our segment information. So we will have the Argentina business center with the same disclosure until now. And we will add Israel business center with all the segments from Israel. So from now, you will see all the evolution of the business in Israel in this segment. Going to Page 18, this is how it will look. Argentina business center, we will maintain the best segments of shopping center, the offices, the sales and development, the hotels, international. So the same disclosure until now, and we will add on a separate basis, Israel with real estate, there is PBC plus other assets, supermarket that is Shufersal, agrochemicals that is Adama, telecommunication that is Cellcom, Insurance that is Clal and other assets. And so the idea is to try to maintain the separation, to understand better our financial statement. IDB will represent a significant part of our assets and liabilities on a consolidated basis. So in Page 19, we have an example of that. IDB represents 13 times our assets, 17 times our liabilities. It's important to mention that any of the debt of IDB have recourse to IRSA. So we will consolidate. We will show on a consolidated basis that we sold, but for us, if you ask us how is the best way to value IRSA, and to keep analyzing IRSA, it's on a sum of the part basis, try to do the NAV of the Company. IRSA will remain the same until now. We will have our investment in IDB, so that our suggestion is to do the sum of the parts, and valuing IDB different way than with the assets and liability analysis. It's not sorry -- I don't know if I was misleading here. The debt of IDB is not recourse at all to IRSA. So on a standalone basis, IDB has a debt of $762 million. The rest is the consolidation into IDB of the rest of the subsidiaries. So on a consolidated basis, IDB shows all the debt from the different subsidiaries plus DIC, plus Shufersal, Cellcom, PBC, all the debt is recognized until under the level of IDB. So also from now, it's also recognized at the level of IRSA. Going to Page 20, this is the breakdown in the segments on the rental segments for IRSA Commercial Properties. So strong results as Alejandro and Daniel mentioned. Revenues keep growing very well. EBITDA keep growing very well. So the context of Argentina is still very good. Margins remained very good in shopping centers and in offices, and EBITDA breakdown, probably now with the devaluation, the office portfolio represents a little more than before. Remember that our revenues in the office segments are dollars, in the shopping centers are pesos tied to inflation. So with the devaluation, our rents in our offices in pesos' term increased. So for that reason, we increased a little more the segment in offices, and then we sold some that compensate part, that will represent a little more than the quarters before. On Page 21, this is the evolution of our operating income by segment. So rental segment, as I mentioned, keep growing very well, 47% in the semester. Sales and development grew 21%. Remember that in the previous year, we recognized that in the first six months, the sale of Madison and the sale of some floors in the Bouchard Plaza building. And in this quarter, we recognized -- sold off some of the XON building in Puerto Madero, and the Intercontinental Plaza under the level of IRSA Commercial Properties. Remember that when we sold -- remember that we transferred the office portfolio from IRSA to IRSA Commercial Properties. That transfer haven't generate any gain under the IRSA level because it was transferred to a related party. So we will recognize every time that IRSA Commercial Properties sale a building, we will recognize that effect under the IRSA level as well. Financial and others, there was a decrease of 52%. The main reason was remember that in the previous year, we recognized the sale of Madison here. So that is the main explanation of the decrease. So going to Page 22, this is the evolution of our net result. So we started with an operating income, increasing by 23% from ARS1.6 billion to ARS1.9 billion with, as I mentioned a strong result from the rental segment and sales of investment properties. Then we have the results of associates and joint ventures. Here it's important to mention that until September this year, we have been recognizing results on IDB as a market value. So our accounting method was to mark to market the shares of IDB at the price of the market and we recognized the evolution of the price of the shares in this line. So until September we recognized all the decrease in the shares of IDB, that is the ARS681 million. I guess the previous year, that was ARS400 million. Then the multiport driver of our net result this quarter was the net financial result. We have a loss this quarter -- this semester of ARS2.2 billion against a loss of 4.8 million -- ARS479 million in the previous year. So the main drivers of this ARS2.2 billion of this year is the first net FX losses. We recognized losses of ARS397 million. In the bottom right of the page, you have the evolution of the exchange rate in Argentina. So we have a devaluation that went from 9 to 13 in this semester, recognizing FX losses of ARS1.6 billion. Remember that we recognize our dollar-denominated debt every quarter according to the exchange rate fluctuation. So, we recognized this ARS1.6 billion. We sold this back on our debt, on dollar-denominated debt. Then, we were able this semester to hedge most part of our debt in the local market. So that generates a hedge gain of almost ARS911 million for this quarter. And also we have dollars -- liquidity in dollars that also generate an FX gain of ARS311 million. So the net FX losses, we were able to reduce from ARS1.6 billion to only ARS400 million. And remember that all our assets are dollar-denominated assets, and we are not recognizing any gain on the assets. So the assets, we're still maintaining the valuation at book value plus CapEx, less amortizations and depreciation. So we haven't recognized any gain on this evaluation on the asset side. Then, we have another important effect, that is the fair value of Clal, and this is important to mention. I said that we haven't recognized results yet on IDB, because we are using a gap of this three-month period. But since the decrease in the shares of Clal is a material effect for IDB, we already recognized that effect in our financial segment. So we are recognizing a loss of ARS800 million that was generated mainly because of the decrease in the shares of Clal after the cancellation of the sale process. Just to give you an idea, the offer that we received from Clal were more in the levels of ARS4.7 billion, ARS4.8 billion and the price of the market cap of the Company at market value today is ARS2.4 million. So, we are using as accounting method [multiple speakers] -- shekel, sorry is ILS4.7 billion against ILS2.4 billion. And it's important that we are using a mark-to-market on the price of the shares. So we are already recognizing the main loss of Clal. Other fair value or financial assets generated ARS180 million of loss. Net financial cost of the interest, net to gain on investment was ARS453 million loss. This increased also because of the devaluation. We are recognizing interest on a higher exchange rate and the change in valuation method of IDB and the tender offers after September was a loss of ARS389 million more. So with that, we finish the semester with a net result of a loss of ARS910 million. Attributable to our shareholders is ARS447 million and the rest is the non-controlling interest. Going to Page 23, we have the description of our debt. Our debt remained conservative. When you see IRSA standalone, we are talking about a net debt of $104 million within a structure that remember that we have the two bonds in the international market, but we have the credit from the transfer of the offices from IRSA Commercial Properties of $240 million. So on a stand-alone basis, we have only $104 million of debt at the IRSA level. On IRSA Commercial Properties, we have a net debt of $249 million of debt. It is the net debt. The total, the gross debt is $406 million. Net debt to EBITDA here -- this was calculated with an average exchange rate over the last 12 months. So that is only 1.1 times EBITDA. If you calculate on a pro forma basis after the devaluation, that is less than 1.7 times EBITDA. So this is still very conservative and we are planning to reallocate our debt as the best way in the near term. So we are analyzing the market, and we believe that Argentina will bring opportunity to refinance this again in the international market, and replace the intercompany loan that we have with the market. This is something that we plan to do in the next year. So with this, we finish the presentation. So now, we open for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Your first question is from Joel Galoti [ph] with Morgan Stanley.
Unidentified Analyst: I was wondering, now that you've gone through the consolidation of IDBD, how you were seeing the long-term structure of the group? In the sense, would you see separate parts of the company within different structures? Would it be separated by real estate and different parts? So I just want to get a sense of how the Company is going to look like in the future?
Alejandro Elsztain: It's difficult to predict how will be the final structure. The current structure is what it is. So we will consolidate under the IRSA level all the assets and companies of IDB. So for the near term, we don't expect that to change. I don't know, finally, how much will be our stake and if we will have to remain consolidating IDB or not. That will depend on our effective control of the company. So since we have the effective control of the Company, we will keep consolidating. If that changed, we will change.
Unidentified Analyst: Okay. And specifically on IDBD, as far as we understand, there is about ILS800 million due in debt amortizations in 2016. Would you be able to discuss, what are the possible ways for IDBD to pay for this amortization?
Alejandro Elsztain: There are different discussions today in the company. So I can't comment now any development on that because it's not public information. There was a Board of Directors of IDBD that approved a capital increase in the company under other negotiations around our obligation of the tender offers to replace part of the tender offer into a different structure that can add inflow to the Company. There are another possibility to sell assets. So that will be the main tools that the Company will have to pay the amortization of this year.
Unidentified Analyst: Okay. And then, you spoke at length about expansions that are being planned for the near term. I was just wondering about demand from international tenants. Are you seeing a lot of demand coming in from international tenants, and is that driving these expansion opportunities?
Daniel Elsztain: There are two drivers here to think about international companies. The first is that we're looking -- now it's in the office segment. We are looking, for example JPMorgan and others that say they will increase operations here. So in the office segment, we see some increase on demand from international companies. And at the shopping center level, we have been receiving many different brands that are looking at the market, interested in knowing what kind of places they can get, what the markets look like. But, there's nothing yet confirmed as there is something going on the office segment. We do expect that all the brands that are near in Brazil, Uruguay, and Chile will disembark turning Buenos Aires and we're preparing, but it's not the only driver to grow in our shopping centers. We still have demand from local tenants. And when we have such a big demand is where we are making the decision of expanding. And the same on the office segment. For example, the [Indiscernible] order that we mentioned, it's not all international demand. It's also some local office demand.
Operator: Your next question comes from the line of Jorge Mauro with SPX Capital.
Jorge Mauro: Related to this divestment of Propiedades Comerciales of 0.7%, what was the rationale behind that and can you give us some color was this a related-party transaction, and what was the average price?
Daniel Elsztain: Well, the rationale is when we transferred the office portfolio to Alto Palermo last year and we renamed into IRSA Commercial Properties, once we start creating a vehicle that concentrates all the rental real estate of the Company in a single vehicle and a pure business in the commercial side idea. At that moment -- and we announced that at this moment the idea to start giving liquidity to this vehicle. This will be the vehicle that we will use to expand our rental real estate in Argentina. And, we want to have access to financing to finance our future expansions. So the idea is to start giving liquidity to these vehicle, and we sold shares in the market. It was not a related party transaction and we did it at market price. So all our transactions were in the market at the price in the market.
Jorge Mauro: Okay. And on the accounts receivables for Propiedades Comerciales, we saw also that there was a loan of $56 million to Real Estate Investment Group. What was this loan from the shopping to this group?
Alejandro Elsztain: This is a related party transaction between IRSA Commercial Properties and IRSA. There was a loan of $60 million if I not wrong from IRSA Commercial Properties to IRSA. That is the loan.
Jorge Mauro: What is this for? Because you have actually -- IRSA Propiedades Comerciales owes money to IRSA. So, now it is the other way around. IRSA is owing money to Propiedades Comerciales.
Daniel Elsztain: Yes, we believe this is more efficient in terms of our tax structure. So this we plan to refinance the $240 million in the market, and then this $60 million probably will go through the payment of dividends.
Operator: Your next question comes from the line of Federico Rey with Raymond James.
Federico Rey: Okay, good morning everybody. Thank you for the call. I have some general questions regarding the [Indiscernible] projects and the Catalinas project. The first one is related to this holding permits. If you can give us some color about what's the status of that? And secondly, how do you plan to finance this project? If you are planning some presales or if you are planning to use some internal cash or raise debt or selling other properties. Thank you.
Daniel Elsztain: First, about permits, different situations. On the Catalinas, we already have the stoning permits. Now we are getting final permits for construction permits, which should be simple and we don't expect any kind of delay from that. In the case of Alto Palermo, we have the stoning permit and the same we are looking now for construction. Construction permits can take a little bit longer because this is going to be the connection of an existing building with a new building. Might require a little bit more work in the shopping center, but as far as we are now, everything we requested in terms of permits has been giving us the positive approvals. So we will think that we can do it. In terms of financing, definitely for the shopping center, we have our own cash producing. And in the case of Catalinas, we're thinking which one is the best structure, whether to keep reselling as we did with Globant, whether to use our own money, do a potential transfer from IRSA to IRSA Commercial Properties. That will be -- we're analyzing, which is the best structure in terms of tax and all the issues and we will soon announce the way it is done. Now we have to start construction soon anyway.
Federico Rey: Okay. So it wasn't clear for me if in the [Indiscernible] project, what's the status of the stoning permit? Do you already have them and working for the construction?
Alejandro Elsztain: I forgot. Stoning planning, we have the stoning and again, we don't expect any kind of delays on the permits here because the stoning is there and we're working on the construction plans and so far, everything is okay. We do not expect any kind of delays in this project and that's why we're talking about them. I mean of course.
Operator: This concludes the questions and answers section at this.
Alejandro Elsztain: If there are no more questions, I would like to make the final remarks, please. Operator?
Operator: This concludes the questions-and-answer section at this time. I would like to turn the floor back to Mr. Alejandro Elsztain for any closing remarks.
Alejandro Elsztain: Thank you very much. As you probably know, it was the change of government at the end of the semester. The country is now expecting the flow of a lot of capital coming to the country, a decrease in the cost of the capital. We are seeing now the bulk of the countries decreasing their yields. So we expect a lot of investments coming to the region and we're beginning, as we were doing the last two shopping centers that we did the last year, that we were still opening but no one was doing, commercial properties we're doing. We're launching some new projects in the adjustment of a dot. We're doing the new office building in Catalinas, planning the next shopping centers. We expect big growth in the country. So our real estate portfolio and our land bank will permit to do that. So we thank you very much. We see you next quarter, and have a very, very good day. Thanks a lot.
Operator: Thank you. This does conclude today's presentation. You may disconnect your line at this time and have a nice day.